Operator: Good day everyone and welcome to the Rambus Inc. third quarter 2009 conference call. Today’s call is being recorded. At this time, I will turn the conference over to Satish Rishi; please go ahead sir.
Satish Rishi: Thank you operator and welcome to the Rambus third quarter 2009 conference call. I’m Satish Rishi, Chief Financial Officer, and on the call today are Harold Hughes, our President and CEO; Tom Lavelle, Senior Vice President and General Counsel; and Sharon Holt, Senior Vice President of Licensing and Marketing. The press release for the results that will be discussed here today have been filed with the SEC on Form 8-K. A replay of this conference call will be available for the next week at 888-203-1112. You can hear the replay by dialing the toll free number, and then entering ID number 5928140 when you hear the prompt. In addition, we are simultaneously webcasting this call and a replay can be accessed on our website beginning today at 05:00pm Pacific Time. Before I begin I need to advise that you the discussion today will contain forward-looking statements regarding our financial prospects, pending litigation, and demand for our technologies among other things. These statements are subject to risks and uncertainties which are more fully described in the documents we file with the SEC, including our 8-Ks, 10-Qs, and 10-Ks. These forward-looking statements may differ materially from our actual results and we are under no obligation to update these statements. We will discuss non-GAAP financial measures on the call today, and we have posted reconciliations of these non-GAAP financial measures to the most directly comparable GAAP measures on our website too. You can find a copy of our earnings release and the above mentioned reconciliations on our website at www.rambus.com on the Investors page under quarterly results. Now I will turn the call over to Harold. Harold.
Harold Hughes: Thanks Satish, and good afternoon everyone. For quarter ending September 30, we achieved revenue of $27.9 million. This result was at the top end of our upwardly revised guidance of $27 million to $28 million for the third quarter. Two market factors primarily contributed to this better than expected revenue result. First was an increase in customer chip shipments following an over correction earlier in the year. In response to the global recession, sales channels and OEMs have slammed the brakes on hard to avoid holding excess inventory. As we know, consumer demand had substantially weakened, but in aggregate the industry overcorrected and undershot the real demand level. As the supply chain reversed the impact of that over correction, chip shipments rose. This is reflected in our higher than initially forecast, variable royalty payments to Rambus. The second market factor driving the upside in revenue is a modest uptick in consumer demand across our focus markets. According to analysts from IDC, PC shipments rose 2.3% year-on-year, when they has been predicted to fall. In the consumer segment, DisplaySearch raised its estimate of 2009 shipments of LCD TVs to 130 million, from an earlier estimate of 127 million, citing stronger demand in China and North America. That’s a 24% increase over 2008 shipments, by the way. In gaming, Sony enjoyed great success with the launch of the PlayStation 3 Slim on September 1. Sony sold over 1 million units at retail in just three weeks. The PS3 is the best selling console in Japan and the US in September. We’re expecting the PS3 Slim will do well this holiday season, thanks to its $299 price point and its strong lineup of game releases. Satish will give more specifics on the quarter’s financial results in his portion of the call. Turning to quarterly highlights, we announced and showcased at the Intel Developer Forum, a threaded memory module prototype that was co-developed with Kingston. This prototype used off the shelf DDR3 DRAM devices. With it we were able to demonstrate a 50% improvement in data throughput, while reducing power by 20%. That’s a remarkable boost to both performance and power efficiency, thanks to our module threading innovation. Rambus fellow Craig Hemple presented at the IDF, where he showed how innovations such as module threading and DRAM micro threading could be used to meet throughput challenges in multi-core computing. As multi-core architectures become increasingly pervasive, Rambus’s continued innovation offers a mean to unleash the full potential in next generation computing and consumer electronics. At the end of September, Craig was honored by the Silicon Valley Intellectual Property Law Association as inventor of the year. This organization recognized Craig’s many contributions to the industry through innovations that have helped deliver the speed and performance of today’s digital electronics. Craig’s received 134 US patents for his innovations, and while at Rambus, he and his colleagues have designed three generations of memory architectures that have increased bandwidth nearly one hundred fold, two orders of magnitude. Delivering breakthrough performance at high power efficiency is a priority of all our focus markets, but it’s absolutely mission critical to advancing the capabilities of next-generation mobile devices. Later today at the ARM tech country conference, Dr. Judy Chen will present how key Rambus innovations, developed as part of our mobile memory initiative, could address the power and performance needs of next-generation mobile phones. We also unveiled a silicon demonstration of MMI innovations that could deliver a data rate in a mobile platform of 4.3 gigabits per second, at a record breaking power efficiency of only 2.2 milliwatts per gigabit per second for the memory controller. That compares to an estimated 10 milliwatts per gigabit per second for the highest performance industry standard memory controller, the LPDDR2 400. Our strong track record of innovation, with initiatives such as MMI and the terabyte bandwidth initiative, and embodied in leadership products such as XDR memory, drive from the fundamental strength of the company. As a core competency, we have made Rambus a great place for inventors to do breakthrough work. That’s manifested in the continued growth of our portfolio of patented inventions. At the end of third quarter, we had 841 issued patents and another 584 applications pending. It’s also evidence in our ability to retain and attract top inventors from across the industry. Most recently Dr. Paul Franzen, fellow of the IEEE and professor of electronic and computer engineering at North Carolina State University, joined Rambus to serve as a technical director. Paul has broad expertise in ASIC design, signal integrity and 3-D packaging, including through silicon via technology. In addition Paul is a renowned industry thought leader with more than 200 referred publications to his credit. We’re extremely excited to welcome Paul to our team of world-class engineers and scientists. With that, I will turn the call over to Tom for an update on legal events.
Tom Lavelle : Thanks Harold and good afternoon everyone. There’s been a lot of activity on our various litigations and I’ll go through the cases one by one. First, the ITC case against NVIDIA; earlier this week we finished up a week long hearing in front of the administrative law Judge, Essex. The ITC is a unique litigation environment and that the evidence does not get presented in sequential order to the ALJ, but instead a lot of the evidence is submitted in written form. For example, witnesses submit written witness statements, and then may be orally cross-examined by the other side. Given that, it is hard to determine outcomes from the oral hearing. We feel we have a strong case and that we presented it effectively to the ALJ, both in writing and in person with our witnesses. Judge Essex has a lot of material to review and there will be a number of post hearing briefings that will be filed over the coming weeks. His final initial decision is due on January 22 of next year. As a reminder, our complaint names NVIDIA as a respondent, as well as a number of companies whose products incorporate queues and video products that are imported into the United States. We are seeking an exclusion order barring the importation, sale for importation, or sale after importation of products that infringe our patent claims. The accused products include NVIDIA product that incorporate DDR, DDR2, DDR3, LPDDR, GDDR, GDDR2 and GDDR3 memory controllers. The accused NVIDIA products include graphics processors and media and communications processors. This represents a majority of products offered by NVIDIA. There are five patents at issue in this case, three from the Barth family of patents, and two from the Ware family. There are no Farmwald/Horowitz patents involved in this particular matter. Moving now to the European Commission; as we announced back in June, we reached a tentative settlement with the European Commission. As part of this settlement, we had committed to offer attractive royalty rates for five year, worldwide licenses for DRAMs and memory controllers. The royalty rates offered are applicable to future shipments only and do not apply to unlicensed use prior to entering a license agreement with Rambus. We’re now waiting for the Commission to finalize this agreement in the near future, and we believe in a manner largely consistent with the tentative settlement. Moving now to the patent cases; the Court of Appeals for the federal circuit will hear arguments stemming from our appeal of the Delaware decision in the Micron case, along with Hynix’s appeal of the jury verdict in the northern district of California case. A hearing date for these arguments has not yet been calendared. The coordinated cases before Judge Whyte remain stayed, pending these appeals. Now for the price fixing case in San Francisco. During our last quarterly update, we were planning for trial to begin on September 28 of this year. Samsung, during one of the pre-trial hearings, indicated that one of their attorneys was ill and thus asked for a one months delay. We offered in the alternative a two week delay, but in either case, Judge Kramer was concerned about having to hold a jury over the holidays and thus decided to move the trial to early January 2010. It is currently scheduled to begin on January 11. We are continuing with our pre-trial motions and hearings with the plan to start jury selection on January 11. While we are disappointed with this delay, we appreciate the court’s concerns. Just this morning, the California Supreme Court denied the defendants’ writs regarding foreign commerce, leaving us with no further writs as far as we know right now. As part of our preparations we are continuing with pretrial motions, and earlier this month Judge Kramer held hearings pertaining to certain motions in liminae (ph) that have been filed. There were a number of motions discussed during the two day hearing, but one of the key outcomes was Judge Kramer’s ruling that certain evidence from the Department of Justice criminal price fixing case against the DRAM manufacturers is admissible in our case. While Judge Kramer did not allow all the evidence we asked to be included, we are pleased that the jury will hear about the guilty pleas in that matter. With that, I will turn the call over to Satish.
Satish Rishi: Thanks Tom. As reflected in our press release today, we finished the third quarter with revenues of $27.9 million, up 3% from the previous quarter, and down 5% from the year ago quarter. As compared to the previous quarter, royalties were higher due to higher variable patent royalties, associated with higher shipment volumes, and also higher PlayStation 3 related technology royalties. The decrease in revenue from the year ago was due to lower contract revenue and a decrease in patent royalties primarily associated with the recognition of previously withheld royalties from Elpida in Q3 of 2008. Operating expenses for the third quarter were $48.5 million, down 2% from the previous quarter, and down 19% from the third quarter of last year. These operating expenses include approximately $7.7 million of stock based compensation, and $0.1 million related to the cost of restatement. Last quarter included approximately $7.9 million of stock based compensation, and a credit of $0.4 million for cost of restatement related reimbursement from an insurance provider. The quarter a year ago included $9 million of stock based compensation, $4 million of restructuring expenses, $2.2 million for asset impairment, and $0.4 million related to the cost of restatement. To provide a better comparison period-over-period I’m excluding expenses and credits related to the stock based compensation, restructuring, impairment, and investigations from a discussion. Excluding these expenses, adjusted operating expenses in this quarter at $40.7 million were down 3% from the previous quarter, and down 8% from the quarter a year ago. The decrease from the previous quarter and the quarter a year ago were primarily due to lower litigation expenses. Excluding litigation, our adjusting operating expenses were up 7% from the previous quarter, and in line with a year ago. Adjusted engineering expenses at $16 million were up 9% from the previous quarter due to higher patent and prototyping costs. SG&A, excluding litigation at $12.8 million was up 5% due to higher accruals, and litigation at $12 million was down 20% from the previous quarter. From the quarter a year ago, adjusted engineering expenses were lower by 9% primarily due to the reduction in force. SG&A, excluding litigation was higher by 14%, primarily due to a reorganization that transferred people into SG&A functions from engineering and higher M&A related diligence expenses. Year-over-year, litigation was lower by 24%. Our adjusted operating loss for the quarter was $12.8 million or 14% lower, both from the previous quarter and the second quarter of 2008. Overall cash defined as cash, cash equivalents and marketable securities excluding restricted cash was just under $0.5 billion at $498 million, an increase of $18 million from the second quarter 2009. This increase was primarily due to the underwriters exercising their over allotment options on the June 2009, $150 million unsecured convertible five year offering. Now I will give you some thoughts regarding the fourth quarter. This guidance reflects our reasonable estimate, and our actual results could differ materially from what I’m about to review. We expect fourth quarter revenue to be between $26 million and $30 million. We expect operating expenses, including stock based compensation to be between $50 million and $54 million, which include an estimate for litigation expenses of between $12 million to $15 million, and stock based compensation of approximately $8 million. As you know, litigation expenses are difficult to predict because we do not control time lines and the requests from the courts, nor do we control the actions that our adversaries may take which may cause us to incur additional unplanned expenses in any particular quarter. Before we open the call for questions, I would like to address a couple of inquiries we received from shareholders via e-mail or through our website. The first question that has been asked was, there’s been a lot of speculation in recent weeks that you are close to settlement with Samsung, Hynix and NVIDIA. What are the prospects of settlement and when do you think it will happen?
Sharon Holt: I’ll take that one Satish, although I’m sure my response won’t be exactly what the questioner was looking for. We are in active discussion with some of our litigation opponents. While we certainly cannot give any indication as to how the discussions are progressing, or even what stage we are at, I want to reiterate a point I’ve made before; it is ultimately our goal to sign license agreements with these companies. Our current situation is quite complex, and there are multiple factors both sides must consider in negotiating a settlement and license agreement. During these discussions we also strive to demonstrate the value of our technology and how partnership with Rambus can benefit the licensee. While our objective is to get these companies licensed and move our business forward, we must negotiate deals which are in the best interest of our shareholders, our other licensees, and the employees of Rambus. This takes time. It is not that we cannot get deals done; it is rather that we have chosen not to do the deals on the terms offered by the other parties up to this time.
Satish Rishi: Thanks Sharon. The next question; did the ITC staff wrote that NVIDIA has infringed two Rambus patents, but that infringement claims on three other Rambus patents should be dismissed; what affects does this have on the case?
Tom Lavelle : I’ll take that one Satish. The initial decision will be decided by the administrative law judge, not by the staff. That’s the first thing I want to make clear. So what the staff says is important and interesting, but at the end of the day, it’s the administrative law judge we’re interested in most. However, the ITC staff which acts as a third party in the process, stated in its pre hearing statement, which was just made public last week, that it believes the evidence will establish a violation of Section 337, as to the asserted claims of two of our asserted patents in this matter. The ITC staff further explains in its filing, their belief that the evidence will show that the asserted claims of 353 and 405 patents are valid and enforceable, that the respondents accused products infringed the asserted claims when used in conjunction with JEDEC compliant memory devices, that the complainant has a domestic industry with respect to these patents, and that each of the respondents imports the accused products. Therefore according to the staff, respondents have violated Section 337 as to the asserted claims of the 353 and 405 patents. As I stated earlier, there are a total of five patents asserted in this case, and it only takes a violation of one of those to seek and receive an exclusion order, and incidentally the staff recommended that a limited exclusion order issue as a result of the recommendations they’ve made. While the ITC staff can make recommendations to the administrative law judge, he, the judge, is not obligated to adopt recommendations. In addition to the evidence presented at the hearing, the ALJ will review the post hearing briefs that I mentioned earlier, and he is scheduled to release his final initial decision on January 22, 2010.
Satish Rishi: Thanks Tom. On behalf of the management team I’d like to thank those of you who have submitted questions to us during the course of the quarter, and we will continue to address questions from stockholders in a periodic basis at this forum. Operator, we are now ready to open the call for questions. 
Operator: (Operator Instructions) We’ll go to Jeff Schreiner of CapStone Investments.
Jeff Schreiner - CapStone Investments: Hello everyone, thank you very much for taking my questions today. I’ve been bouncing in between two calls here, so I apologize if I repeat anything. The first question I want to pose Tom was to you about, could you give us some sense about historically in that type of context, has it been favorable to have the ITC staff support your position?
Tom Lavelle : It never hurts to have the staff support the position, although I went to extreme means to point out that it’s really the ALJ, Judge Essex, whose decision matters. It’s kind of a mixed bag. It’s good to have them on your side, but that doesn’t mean you are going to win. The other side is, there are three patents that we believe are valid and infringed that they are recommending, they deny validity to which we disagree with. So we’re not fully in sync with what the staff is saying, at least with respect to those other issues.
Harold Hughes: You should add that those patents are still in the San Francisco patent case.
Tom Lavelle : Yes, all five of those patents are also in the Northern District of California case, which also includes Farmwald/Horowitz patents over and above these five patents as well.
Jeff Schreiner - CapStone Investments: I was wondering, I heard that you said you were pleased about possibly having these guilty pleas into the trial with Samsung and Hynix. How significant is it to have the Samsung and Hynix DOJ guilty pleas in the trial, and to counter that, how significant is it that Micron’s agreement leniency isn’t in the trial?
Tom Lavelle : I think that will be a question for the jury to decide, if I can speculate, but I think it’s important to get the guilty pleas in. The case and the facts, if you just looked at them in a vacuum, a lot of people might say “Wait a minute, that’s kind of crazy. You’re talking about a conspiracy here among large companies.” Having the guilty pleas gives credence to the basic fundamental point of view that there is a conspiracy here, because they’re convicted of a criminal conspiracy. So I think it’s important. I don’t by any means think it’s the only or even necessarily the most significant evidence that will be presented, but it gives a lot of credence to the basic theory of our case, so we’re very pleased we got it in.
Jeff Schreiner - CapStone Investments: Okay. Just two more questions here, I appreciate your time. Have you guys been able to provide or do you know; I know that the ITC is a case that is about exclusion, and exclusionary nature only, but perhaps is there some type of value that we can understand in terms of the shipments during 2008 of the products that are accused in the ITC trial?
Tom Lavelle : I think I’ll let Sharon handle that in terms of the shipments of NVIDIA.
Sharon Holt: I certainly can’t quote you a specific number here as Tom even mentioned during his script. The products that were listed in the original complaint made up most of NVIDIA’s product line during the period at which we filed the complaint. So while I can’t give you a specific number here, I don’t have it in front of me, we do believe that it represents a majority of the revenue stream.
Tom Lavelle : Keep in mind it’s not just NVIDIA, but it’s a number of the NVIDIA customers who have purchased NVIDIA products and include them in their boards and/or systems that typically are built offshore and a significant percentage of those get shipped into the United States. Those are named defendants or respondents in the case, and they are directly impacted by the outcome of the case, as well.
Jeff Schreiner - CapStone Investments: Final question Tom, thank you very much for your time today. Recently, I believe it was Monday, Rambus asked Judge Kramer, and please correct me if I’m wrong in any point here, to seal what was deemed in a conversation between the judge and the attorneys, a recent licensing agreement. I’m not sure if this is true or not, but what would you as a general counsel find a recent agreement as ever?
Tom Lavelle : I was in Washington D.C. on Monday, so I actually wasn’t there in San Francisco. I know about the general nature of the discussions, and we’ve had previously been expecting motions in liminae and conflict of interest questions would come up, so we were a little bit surprised at the agenda on Monday at the hearing. So I can’t give any more on that right now, I’d have to go back and look. I’m not sure what they’re talking about with a recent license agreement.
Jeff Schreiner - CapStone Investments: All right, thank you very much Tom.
Operator: We’ll go next to Michael Cohen of MDC Financial Research.
Michael Cohen - MDC Financial Research: Thank you for taking my question. My first questions are for Tom. You previously thought that the consent agreement with the European Commission would have been finalized by now, and I was wondering if you could share what has been holding it up from being approved to this date.
Tom Lavelle : Hi Michael, how are you? That’s a good question. Europe has taken longer in getting this to completion than we expected, I certainly admit that. I’ve got say though, nothing has happened that leaves me with any particular concern. Keep in mind that the European community is comprised of a number of nations that have bounded together. They have a multiplicity of languages among the various things that have to be done before something can be finalized. The final document has to be translated into each of the languages of all the countries within the community. That takes time and it’s a bureaucracy, and beyond that, I don’t have any further insight than just normal bureaucratic. It takes time, and we’ll get there.
Michael Cohen - MDC Financial Research: Okay, I was wondering what do think the likelihood, when it’s finalized that the agreement could materially change from what was first press released by you?
Tom Lavelle : I don’t think there will be any material changes from it. What does that mean by material? There will be reasonable royalty rates. It will be worldwide licensed. It will be forward-looking only. There will be no, in any way admission of guilt or liability by Rambus. There will be no fine imposed, and the general sense of the announcements that we made will remain in place, what I completely believe right now. I don’t think you’ll see any significant change at all.
Michael Cohen - MDC Financial Research: Do you think that the rates themselves are subject to discussion?
Tom Lavelle : I can’t comment, but I think they will be very, very similar if not identical.
Michael Cohen - MDC Financial Research: Okay, and my next question is, Joe Cotchett is removed from the antitrust case. I was wondering if you could share why he was removed and who is the lead attorney now to replace him. Is it Mr. Stone, is it Mr. Perry or Munger Tolles?
Tom Lavelle : Thanks Michael. Let me first address the Joe Cotchett question, because I’ve heard this. Joe Cotchett was not removed from the case. Joe Cotchett chose to withdraw from the case for his own reasons. We really and truly are sorry he decided to withdraw, and we miss Joe and we miss his team, in our quest to take this case against the named DRAM manufacturers. We’re very pleased however with the representation we’ve been getting from Munger Tolles, as we’ve been getting from Munger Tolles for a number of years, as you know. While we miss Mr. Cotchett, we feel confident in our case and in our trial team, and the precise structure of who that trial team is going to be is not yet completely determined. You’ve seen probably everybody who will be on the team and who takes exactly what role we’re not ready to roll out yet.
Michael Cohen - MDC Financial Research: Okay, and the next question is for either you Tom or Sharon. I was wondering if you believe that any of the defendants in your antitrust case have signed a judgment sharing agreement which makes potential settlement negotiations more complex.
Tom Lavelle : I think that would be speculation on our part, and I really can’t answer that.
Michael Cohen - MDC Financial Research: So you’re not aware of any judgment sharing agreements between the parties?
Tom Lavelle : I’m not aware of any such thing, no.
Michael Cohen - MDC Financial Research: Okay, and then the next question is clearly for Sharon. Sharon, can you share with us some of the remaining obstacles such as the antitrust trial, which still prevents the signing of a licensing deal with Elpida?
Sharon Holt: Michael hi, thanks for the question. I’m going to maybe remind everybody who is listening what we discussed last year with respect to Elpida, because frankly, our game plan has not changed. We were in negotiations with Elpida up until the time and beyond the time their previous license expired last year in 2008. We decided not to continue moving those discussions forward, given where we were in the process of litigation with the other DRAM companies. We felt it was more prudent to continue seeing things through in litigation, and to try to bring some of the other parties to settlement before re-signing Elpida. We are still operating in accordance with that plan. If it changes for any reason, we’ll let you know, but right now we’re staying the course.
Michael Cohen - MDC Financial Research: Okay, and my last question is back to Tom. I was wondering if you go could list your areas of concern, which could still potentially cause further delays to the antitrust case. Does the possibility of case coordination with the antitrust trial, given you any concern?
Tom Lavelle : Thanks Michael. As to the latter, not especially, but I don’t necessarily think it’s a great idea for me to give you a list of my concerns and those things that keep me up at night. I think that’s probably attorney-client privilege. I think I’m going rely on that at this point. But as in any trial, there are issues. This one will be no different. I feel confident in the strength of our case. We are very much looking forward to being able to present this case which has been there for a very long time, and will finally get to a jury. We’re ready, we will be ready, and we look forward to the trial, and we think it should be a very interesting trial for those who are able to attend.
Michael Cohen - MDC Financial Research: Okay, and have you thought about whether you would prefer or not prefer coordination with the antitrust case?
Tom Lavelle : I can’t imagine why we would think it’s a good idea.
Michael Cohen - MDC Financial Research: Okay great. Okay, thank you for taking time for my questions. I appreciate it.
Operator: We’ll go to Mike Crawford of B. Riley & Co.
Mike Crawford - B. Riley & Co.: Yes, thank you. First, back to the ITC case, do you have any stats on the record of that court, where the staff had a recommendation and the ALJ decided differently?
Tom Lavelle : It’s an interesting question, and I don’t have the stats in front of me. I was speaking earlier with some people in the company. It’s very different than the Federal Trade Commission which has a very predictable record in terms of how staff recommends and how the commission itself comes out. I don’t have such statistics for the ITC, but of the cases that I know about, and there’s a number of them, it’s nowhere nearly as closely correlated as one might expect to see at the Federal Trade Commission. The ITC, the ALJs do their jobs and make their decisions based on all the evidence, including the recommendations of the staff. The Commission itself doesn’t always support or overturn the ALJs. They make their own independent determinations, and we expect that we will get a fair and complete hearing, both from the ALJ himself, Judge Essex, and from the Commission when it gets to them.
Mike Crawford - B. Riley & Co.: Okay, and I’m sorry Tom if you mentioned this earlier, but the coordinated expiation (ph) appeal at the CFC, when is that expected to be heard?
Tom Lavelle : Well, we haven’t got a hearing date set yet with the federal circuit, but they will be heard concurrently, and they’re being briefed now. We’re well into the last round of briefs. I expect that will be heard sometime in the first half of 2010, and we may expect a decision late 2010 is my best guess.
Mike Crawford - B. Riley & Co.: Okay, thank you. Then maybe moving away from litigation, one thing I think Satish you mentioned was that engineering resources had been moved to SG&A. So do you have engineers helping with sales now? What is that all about?
Satish Rishi: No, last year we had a reorganization, and we moved some of the people who were doing some engineering into our IT development as we moved into looking into doing more M&A and looking at doing more patent prosecution and looking at other patents for acquisition. So we moved some of our engineering team to help with the M&A activities, so that would not be an engineering cost from a GAAP perspective. That’s why we moved that to SG&A.
Harold Hughes: They’re doing an engineering-like job obviously, they’re analyzing patents.
Tom Lavelle : But in fairness to our marketing and sales team, most of our marketing and sales people already are already engineers anyway.
Sharon Holt: That is true.
Mike Crawford - B. Riley & company: Okay. Well, thank you very much.
Operator: We’ll go next to Hamed Khorsand of BWS Financial.
Hamed Khorsand - BWS Financial: Hi guys, I have four questions. First, the developments in the antitrust case in the European settlement, has that attracted any new licensees?
Sharon Holt: I’ll answer that one Hamed, this is Sharon. With respect to the antitrust case, I think I mentioned during my first answer to one of the questions that was sent in, that we’re talking to parties, but nothing to report there yet. With respect to what’s happening in Europe, while we think it will be great when that agreement is finalized with the EC, we’re certainly not expecting that to be a great watershed event, where suddenly our phones are ringing off the hook and people are calling to take licenses. However, it is certainly a positive thing, and that it reinforces, we believe the value of our innovation, the value of our portfolio and reinforces what we’re trying to do proactively from a licensing standpoint. So it doesn’t hurt, it definitely helps, but no one should be expecting it to be a great watershed event from a licensing perspective.
Hamed Khorsand - BWS Financial: Okay, and moving away, again from litigation, you currently have technology in 11,000 TVs. Do you expect that to be the extent as far as commercial products go, and do you have a time line for when you would be in lower priced televisions, like in the $2,000 range?
Sharon Holt: Actually Rambus technology is in a wide variety of digital TVs even today. While the XDR product is in some of the higher end platforms today, we certainly do expect over time that the XDR technology will find its way into more mid priced and lower priced platforms, but Rambus actually with some of our existing partners, has been doing a high-speed DDR2 5 designs, which are going into much more mainstream digital televisions out there. In fact, I think in the call when we talked about our revenue results, we’ve been very pleased with the success and the royalty stream generated by some of the high speed DDR2 5s we’re working on with our Japanese customers.
Hamed Khorsand - BWS Financial: And finally is there some guidance you can give as far as companies that are coming to you now to use your technology, what types of products they’re looking to place their technology in?
Sharon Holt: I’ll give you a little flavor, and I think a lot of the recent excitement here is around some of our new technology initiatives. As the industry is looking forward to coming out of a downturn, there’s a lot of focus now on next-generation platforms in most of the markets that we serve. We’ve recently talked a lot about threaded module solutions for the PC and server market. We’re certainly looking forward to engaging with companies on that; nothing to announce yet, but it’s actually generated a lot of interesting dialogue for us with some of our customers. Very hot right now, the mobile market. Harold spoke today about Dr. Judy Chen who is giving a talk at the ARM conference today, and you may have seen our press release about our latest test chip result. The mobile technologies that we have developed for next generation platforms are keeping us very busy right now, engaged in talking with companies all over the world as to how those technologies might be incorporated in actual product. So a lot of these things we’ve been working on in R&D mode over the last few years are at a point now where they could actually be designed into next generation products, and we’re very actively engaged in those discussion.
Hamed Khorsand - BWS Financial: Thank you.
Operator: We’ll go to Phillip Zera of Algorithm Capital.
Philip Zera - Algorithm Capital: Yes, I have two questions. My first question is on the tax implications if there is a settlement with either NVIDIA or any one of the defendants in the antitrust case. During the second quarter conference call 2008, you had mentioned a figure around $130 million. I guess you could call it a tax credit; has that figure changed?
Satish Rishi: In 2008 we had taken what’s called a valuation allowance against our deferred tax assets, and that’s more of an accounting charge you take if you believe that the deferred tax assets or benefits that you booked on your balance sheet, you’re not able to show income from your normal operations to be able to utilize the deferred tax assets in the near future, so we took a valuation allowance. When we do get a settlement, we will be able to show that we will be able to use up the credits we have and the deferred tax assets we have. We would take that deferred tax asset off our books, and we will start accruing or having a tax provision on our books on every quarter like most normal companies do. At this point in time, our tax provision that we take on the books like this quarter was a credit of about 0.1%, a very small amount. It relates only to the income, that income or loss that we have in our foreign jurisdictions. So everything that we have from a tax perspective, whether it’s a credit or an expense in the US, it goes into the valuation allowance, and there isn’t a tax provision from US perspective on our books. Does that answer your question?
Philip Zera - Algorithm Capital: Yes. My other question, can you comment on the market transition from DDR, DDR2 to DDR3?
Sharon Holt: There’s been a lot written about that in the industry reports over the last couple of months. Actually the crossover appears to be occurring this year, a little bit later than originally forecast, but I think the downturn has slowed things down, however most of the major DRAM companies are reporting a big up-tick in DDR3 sales and I think by the end of this year, expect the crossovers to have occurred.
Philip Zera - Algorithm Capital: Great, thank you.
Sharon Holt: You’re welcome.
Operator: We’ll go to Robert Scott of Axicon Partners.
Robert Scott - Axicon Partners : Hi, good afternoon. I apologize if this question already has been asked, I joined a little late, but I’m wondering, now that the last DRAM petition has been denied today, are there any potential obstacles to the start of the January antitrust trial? In that regard, I think Rambus moved to disqualify Samsung’s counsel for some reason. If you could explain why and if that motion is granted, could that result in further delay to the start of the trial?
Tom Lavelle : Thanks for the question. As I said earlier, I’m not going to speculate on other possibilities of what could delay the trial beyond the 11 of January, I don’t know. Going to the conflict question, I just want to make clear that the attorney who was trying to join the Samsung team has not been on the team, is trying to come in now. We have objected on grounds of conflicts of interest. I would be very surprised if the inability of a new attorney to join a longstanding trial team would in any way affect the timing of a case. It would make no sense, and I don’t expect that’s going to happen.
Robert Scott - Axicon Partners : Thank you very much.
Operator: At this time, I will turn the conference back to Mr. Harold Hughes for any additional remarks.
Harold Hughes: Thank you very much for your continued interest and support, and we look forward to speaking to you soon.
Operator: That concludes today’s conference call. We thank you for your participation.